Operator: Good morning, ladies and gentlemen and welcome to the Bombardier's Third Quarter 2019 Conference Call. Please be advised that this call is being recorded. At this time, I would like to turn the discussion over to Mr. Patrick Ghoche, Vice President, Corporate Strategy and Investor Relations for Bombardier. Please go ahead Mr. Ghoche.
Patrick Ghoche: Good morning, everyone, and welcome to Bombardier's third quarter 2019 earnings call. I wish to remind you that, during the course of this call, we may make projections or other forward-looking statements regarding future events or the financial performance of the corporation. There are risks that actual events or results may differ materially from these statements. For additional information on forward-looking statements and underlying assumptions, please refer to the MD&A. I'm making this cautionary statement on behalf of each speaker on this call. With me today is our President and Chief Executive Officer, Alain Bellemare; and our Chief Financial Officer, John Di Bert, to review the transaction announced today and our financial results for the third quarter ended September 30, 2019. I would now like to turn over the discussion to Alain.
Alain Bellemare: Thanks, Patrick. Good morning, everyone and thank you for joining us again today. As you saw in the press release this morning, we continue to drive our transformation plan. In aviation, the certification of our new Global 5500 and 6500, combined with the remarkable performance of our new Global 7500, is strengthening this amazing global franchise. At Transportation, we are turning the corner. We are making steady progress working through our challenging legacy projects and ramping-up deliveries. At the same time, we are growing and improving the quality of our backlog. With the sale of our Belfast and Morocco aerostructure businesses to Spirit we achieved another key strategic milestone towards building a lean, efficient and strong business aircraft franchise. At Bombardier Aviation, David and his team are on plan to deliver our full year guidance of 175 to 180 aircraft, including 15 or more Global 7500. We now have over 20 Global 7500 in our completion center. Our assembly operation in Toronto is also full, with over 20 aircraft at different stages of completion and we are on track to meet our 2020 run rate by year-end. Our Global 7500 flagship is simply the best business aircraft, size, cabin comfort, range and performance. The in-service performance is outstanding and customer feedback is very positive. Earlier in the quarter, we clearly demonstrated our range advantage with a record-setting over 8,200 nautical miles non-stop flight from Sydney, Australia to Detroit, connecting the longest-distanced city pair in business aviation history. We also announced more range 5,900 nautical miles for our newly certified Global 5500. This is not only better than our original commitment, it is 700 nautical miles more than our nearest competitor. Year-to-date book-to-bill remains strong at 1.3 and our backlog of $15.3 billion continues to lead the industry. The growth and expansion of our aftermarket operations remain on track. We just announced new line maintenance station at Van Nuys, California and Teterboro, New Jersey, two important airports for our customers. Earlier this month we launched a new initiative with GE, bringing Big Data to business aviation. Our new SmartLink Plus program will use fleet-wide data to help customers make better operational and maintenance decisions. We will provide real value for our customers, while diversifying and expanding our aftermarket offerings. At Transportation we are focused on completing our transformation and fully unlocking the value of this great business. As you know, in Q3 last year, we experienced a setback driven by our legacy projects. This had a ripple effect on the portfolio, which led to additional investments and more resources to protect the schedule and the backlog. We took the right actions for the business and we are now starting to recover. Software issues are being resolved, in-service reliability is quickly improving and most importantly customers are recognizing our efforts. Specifically, we are making solid progress with our complex legacy projects. MT in new York, all deliveries should be completed before year-end and the in-service reliability is now exceeding requirements. For Crossrail U.K. production will be completed next month, with final deliveries expected before year-end. For a LOTRAIN in the U.K., production should be completed in November, deliveries to customer is being paced by software development, which is now tracking for completion before year-end, a bit longer than expected, which means deliveries will slip into early 2020. For Dosto, Germany, we are tracking to plan. At SBB, Switzerland, from zero less than one year ago, we now have 23 trains in revenue service and reliability has improved by 500%. We are now tracking in line with typical reliability learning curves. And finally, for TTC in Toronto, we will complete this contract by year-end, a strong recovery. Reliability of the fleet continues to improve and is currently above contractual requirements. Overall, very good progress on these contracts and across the portfolio. Of course, there's still a lot of work to do, with some volatility in the timing of train deliveries. As such the recovery will be gradual over the next 12 months. Danny and his team have done a very good job tackling the challenges. They fully understand the situation and are driving detailed action plans to complete the recovery. Moving forward, we expect more consistent results, with margins and free cash flow gradually improving. Stronger performance should also be driven by improvements in our backlog. We ended Q3 with a record backlog of $35 billion. Our year-to-date book-to-bill stands at 1.3. Equally important, the quality of the backlog is improving, driven by a better mix. Year-to-date two-thirds of new orders are coming from signaling, services and options being exercised. This order intake is accretive to margins. In addition, we've continued to drive for a much higher reuse content in rolling stock projects, such as the latest win in Cairo, where we are using an existing designing. All of this gives us confidence in BT's ability to deliver stronger financial performance in the coming years. Let me conclude by saying that we are fully focused on delivering the fourth quarter. As we are executing the Global 7500 ramp-up and the legacy projects at BT, we have decided to provide 2020 guidance in February with our Q4 results. Having said that, directionally for 2020, we will have two strong businesses expected to deliver higher revenues, better margins and positive cash generation. Okay. Let me stop here and turn it over to John to review the third quarter results.
John Di Bert: Thank you, Alain. Good morning, everyone. The third quarter results reflect our continued production ramp-up, both at BA and BT. Today a dozen Global 7500 aircrafts are in the final stages of completion, while our rail segment is on track to complete and deliver large projects in New York, Toronto and London. As we move forward, executing on our new aviation programs, as well as our large Transportation projects, we are entering the fourth quarter in a position to release working capital and generate above-average free cash flows. And as we continue to drive stronger financial performance, we're also simplifying the business and strengthening our balance sheet as demonstrated by the transaction announced today with Spirit. This is another step towards creating a stronger and more focused aviation franchise. At 10x enterprise value-to-EBITDA this transaction captures the full value of the business. And after deducting transferred liabilities, we will receive $500 million of net cash proceeds. This transaction together with the sale of the CRJ will add more than $1 billion of cash to our already solid liquidity position by mid-2020. Let me now summarize the third quarter numbers. Consolidated revenues totaled $3.7 billion, featuring 8% organic growth year-over-year excluding the effect of divestitures and currency translation. This growth reflects a double-digit increase in aviation revenues and 5% growth at Transportation. So overall, we continue to see full year revenues of approximately $16.5 billion to $17 billion driven mainly by an acceleration of Global 7500 deliveries heading into the fourth quarter. On the earnings front, third quarter profitability was in line with expectations with adjusted EBITDA and EBIT of $255 million and $159 million, respectively. This level of profitability is aligned to full year margin guidance of approximately 7% and 5% respectively at BA and BT. On a consolidated basis, as the segment's quarter-over-quarter adjusted EBIT margins stabilize in the fourth quarter, full year guidance remains unchanged at $700 million to $800 million. Adjusted EBITDA is expected to grow in the fourth quarter, mainly as the Global 7500 deliveries increase at BA reaching full year guidance of $1.2 billion to $1.3 billion. We also reported a $0.04 EPS loss in the third quarter, lower year-over-year as a result of lower operating earnings and previously capitalized interest now being expensed. On free cash flow, usage was $682 million during the quarter higher than the $200 million to $400 million anticipated for the period, mainly resulting from timing of cash flows. The incremental cash usage was driven by lower cash inflows associated with train deliveries and milestone payments that have moved into the fourth quarter. Looking at the full year to reach the approximately $500 million of free cash flow usage guidance, we anticipate to generate approximately $1.6 billion of free cash flow in the upcoming quarter. While this is a significant undertaking for the team, we have a well-defined road map to deliver on this goal. Let me explain. As a baseline, our fourth quarter is generally significantly cash flow positive generating between $900 million and $1 billion in each of the last two years. We expect this trend to continue this year, particularly as capital investments are coming down. In addition as mentioned, we expect to recover some $300 million of cash inflows originally expected in Q3. In fact, we've already secured some of these inflows in October. Then there are two positive free cash flow catalysts that contribute incrementally to our normal seasonal Q4 cash flow generation. First, Global 7500 aircraft deliveries contributed to cash meaningfully for the first time with each delivery carrying an important final payment. Second, we are accelerating train car deliveries. This will receive -- this will release excess finished goods inventory that is held back as we complete software certification and acceptance requirements. This phase has started in the third quarter with more than 15% sequential increase in deliveries and customer acceptances versus Q2. We see continued momentum in Q4 and through 2020 and 2021. Our leadership teams at both BA and BT are focused on meeting customer deliveries and producing the Q4 cash generation to reach our $500 million free cash flow usage target for the year. Let me now turn to each unit's performance and outlook. Our rail business recorded revenues of $2.2 billion in the third quarter. On a constant currency basis, revenues grew by 5% year-over-year mainly from services. This revenue level is stable over the prior two quarters, consistent with the production resynchronization implemented earlier this year as we addressed production and delivery challenges. For the quarter, adjusted EBIT was $110 million representing a 5.1% margin. This margin reflects the current mix of dilutive projects and the cost of investments being made to increase capacity to ramp-up production. We expect the fourth quarter performance to be similar to Q3 with stable revenues and earnings and aligned to full year guidance for BT. As we look forward to 2020 and beyond, we expect revenues to grow on the basis of a strong backlog and the associated production ramp-up. With higher and more stabilized production rates, we would expect margins to improve given better fixed cost absorption. And while we continue to expect to burn down most of the larger dilutive projects by the end of 2020, we do see a drag on profitability through the end of next year. Overall, we believe we have seen the low point on BT margins in 2019. Finally, we expect BT free cash flow conversion to gradually return to more normal levels and benefit from net working capital tailwind in 2020 and 2021 as we reduce our abnormally high finished goods inventory levels. Although the last four quarters at BT have presented challenges and resulted in some volatility, we are confident we are making the right -- we are taking the right actions to recover and improve performance and put the business back on a path to profitable growth. We believe that our strong product portfolio and our commitment to customers is a solid foundation to continue winning in the market. At aviation, we've made good progress on our growth programs. Total deliveries reached 37 aircraft, including 31 business aircraft and six CRJs. These deliveries included two more Global 7500 and the entry into service of the first Global 6500. With an acceleration of deliveries in the fourth quarter driven by the Global 7500, BA is on plan to deliver 175 to 180 aircraft this year. Revenues for aviation which includes for the first time the amalgamation of business aircrafts, commercial aircraft and Aerostructures totaled $1.6 billion in the quarter. This represents growth of more than 10% when adjusting for the divestitures of commercial aircraft programs and the training business over the past year. This increase in revenues came from more global deliveries, higher external Aerostructure revenues mainly in support of the 8 to 20 ramp-up and was further fueled by the expansion of business aircraft aftermarket activities. With year-to-date revenues of $5.1 billion, we continue to expect full year revenues at approximately $8 billion with the growth mainly coming from our backlog. Looking at this segment's operating performance during the quarter, adjusted EBIT was $93 million or 6% reflecting as expected some dilution coming from early global production units and the CRJ program. With year-to-date adjusted EBIT margin at 7.6% and Q4 margins expected in line with the third quarter, we are reiterating our guidance of approximately 7% for the year. Let me now wrap-up. BA is making meaningful progress ramping up the Global 7500 and introducing the 5500 and 6500 on time, while executing on the learning curve. At BT while 2019 has proven to be more challenging, we have taken actions to exit the year stronger. We are working closely with our customers, we have strengthened the leadership team and we are investing to build more capacity and we are building a stronger backlog. Transportations business fundamentals are intact. Moving beyond the short-term challenges will put us on a growth trajectory in aviation and on a path to earnings and cash flow recovery at Transportation. To conclude with $3 billion of cash on hand expected at the end of this year combined with over $1 billion of upcoming M&A proceeds and with positive free cash flow expected in 2020, we expect to be in an even stronger liquidity position as we complete the last year of our turnaround plan. With that operator, we're ready for our first question.
Operator: Thank you [Operator Instructions] Our first question is from Myles Walton from UBS Securities. Please go ahead.
Myles Walton: Thanks. Good morning. Alain I think the question I have and I think I'm getting a lot of is why do you have more confidence now? Obviously, the cash flow has been a pretty big moving target for you and last quarter $1.3 billion was -- you kind of gave us a road map of why that was the Q4 implied and that was reasonable. And now John you walked through why $1.6 billion is reasonable for the fourth quarter. And here's the question I'm getting is, do you guys have confidence in that? Or is it that you don't want to bring down the number again? And I guess on a related note, maybe you can talk about why the $300 million slips from 3Q to 4Q?
John Di Bert: Yes. Sure. I'll take that one Myles. So we did have some milestone payments in the third quarter as well as some deliveries, particularly in the U.K. that were targeted for late Q3. They did slip into the fourth quarter. That has a lot to do with the certification on the software and the early deliveries of trains in a couple of U.K. projects on Aventra, so some of the places where we've been working to catchup. The good news on the Q3 slip is that we see most of that coming through here in the fourth quarter and some of that has come through in October already. So from that point of view, I think we did express the fact that there's some volatility and that there is some chunky payments that do move around. That being said, I'd say that we also do expect that we have usage here in Q3 as we load up for both aviation and BT big deliveries in Q4. So that is the -- that does set up for a big fourth quarter. So the $1.3 billion to the $1.6 billion is really the movement from Q3 into Q4 largely that's what the increment is there. And as I said in my comments and not to be repetitive but we -- the teams do have a well-defined road map both at BA and BT what gets -- what needs to get done. It's in line with what we're doing in terms of also achieving our customer commitments both on aerospace and on the Transportation side. We did build a plan this year that was going to have a pretty big load in the fourth quarter on 7500. This is not new, that the aircraft really represents the first time that you have a Q4 with 7500 in any magnitude. So this is all the incremental cash flow, so we typically do in the fourth quarter and it's -- the last couple of years we've shown about $900 million of Q4 seasonal cash. So with the 7500 you're talking here probably a dozen or more aircrafts coming through. And that means that there's going to be a lot of the final payments. So that gives us pretty good confidence. The team knows what has to be done. Lots of aircraft in the completion center. So right now about 20 aircraft in completion. We also have a full operating line in Toronto where we complete the green, so already well stocked for next year. So on that front progressing well. Of course lots of work to be done but we know exactly what has to be done. And we actually feel pretty good about how the rapt has been going so far. So we feel pretty good about 7500. At BT some recovery from Q3 as I explained into Q4. And then from that point on it's really -- it's a series of a lot of finished goods inventory that starts to move both in Germany, Switzerland and also the U.K. as we mentioned. We do have a lot of finished goods. The good news here is that there's catalyst events that we're tracking very closely, we know how to achieve. And that gives us confidence that that inventory starts to deplete in the fourth quarter. Being very transparent, we've said it in the past and I'll say it again today is that, there is and there has been some volatility in how those payments come through and how we hit those dates. We've never had more clarity than we do today on the progress and our ability to hit milestones. That being said, these things do have a tend to move around a little bit. We've got eight weeks to the end of the year here, we're fully focused. I think that the road map is clear. We know what we have to do. If it slips around a little bit, it's going to be a slip into Q1 but it's not this is something that right now we believe cash will generate strongly from here on in frankly from deleveraging the inventory at BT. So we'll keep an eye on it and we go from here. But the good news I think is that we're seeing the other side of a lot of this working capital build.
Myles Walton: Okay. Alain you mentioned one program was slipping I guess the LOTRAIN. But I guess what you're saying is that the way the advances are coming in doesn't disturb the full year free cash flow at the same time. And if you got to the end of the year into December or January – February, I guess when you present your outlook for next year and you didn't make the number, is it more likely to be advances from one of these train contracts? Or is it more likely to be you couldn't get the 7500s out the door?
John Di Bert: Well I think that's -- I mean, it's still trying to handicap into -- I mean we're pretty clear about what has to get in on both sides. I would say that the reality is at this point in time we have a pretty good line of sight to all the milestones and what has to get done. And then it's a matter of moving trains into service right? And so from that point of view we work with our customers and you can't enter infinite amounts of trains into service. So there's a coordination and a timing of all that. So I would say that we know what we have to do from a milestone and certification point of view. Moving trains into service becomes its own kind of work stream. We feel pretty good about how we're taking care of that. And on the 7500 obviously every one of those aircraft is sold, it's a matter of completing them. Like I said, we have 20 in the completion center. So I'm not going to handicap one or the other and we have a clear road map of what has to get done. And at this point in time we're just focused on doing it.
Myles Walton: Okay. I’ll leave there. Thanks.
Operator: Thank you. The following question is from Seth Seifman from JP Morgan. Please go ahead.
Mike Rednor: Good morning. This is Mike Rednor on for Seth.
John Di Bert: Hey, Mike.
Mike Rednor: With the medium jet category running about 10 deliveries lower year-to-date versus last year, can you talk through some of the market challenges you're seeing there and kind of what you're seeing on the demand side?
Alain Bellemare: Good morning. It's Alain. Can you just repeat the last piece of your -- last part of your question?
Mike Rednor: Sure. Kind of what are you seeing on the demand side for the medium jet category?
Alain Bellemare: Okay. So overall it's pretty stable year-over-year. We're in the same ballpark. We're seeing the demand being stable to good in the U.S. it's really driven by North America, rest of the world is relatively flattish. And things have not changed much. I think that what is driving growth in our case are the new platforms, especially the Global 7500. And as we introduce the Global 5500 and 6500, I mean, this gives us confidence in our ability to keep winning in the marketplace in business aircraft. The midsized -- super midsize, the Challenger 350 is best-in-class product still doing extremely well. And there's like maybe some slight variation here and there but by and large I would say relatively stable.
Mike Rednor: Okay. Thanks.
Operator: Thank you. Our following question is from Walter Spracklin from Royal Bank Canada. Please go ahead.
Walter Spracklin: Thanks very much. Good morning, everyone. So just focusing on the 7500 here. I know that there's a little bit of aberration here with the very first bunch coming out. They're all coming in all at once in the fourth quarter. My question is does that signal what you can do on a kind of quarterly run rate? What would a normalized cadence for your deliveries be as we look into 2020 and beyond compared to what it seemed now that it's all jammed into obviously in the fourth quarter here? How would we look at the cadence? And is your ability to deliver kind of in that 10 to 15 this quarter suggestive of a run rate that you can do a larger number than what you've previously guided to in the full year going forward?
John Di Bert: Thanks for the question Walter. I'd say let's call it the way it is. This year we knew we were going to be building towards a big Q4 delivery. So there's lots of aircraft that are moving towards their first deliveries in Q4. So I do think that our ability here with about 40-odd aircraft in the total production line between green aircraft and completion aircraft sets us up well for our stated objective of being at 35 to 40 next year. And I would say that's really what our expectations remain at this point in time. In terms of having smooth production, I think you got to give us probably more than just one or two quarters a year of normal rate, it will take through next year before you kind of have that smoothed out. It doesn't mean that you'll have the same profile. I think that that will start to improve of course; and the quarter-over-quarter, you'll see good compares through all of next year. But I wouldn't suggest that you're going to go linear eight to 10 a quarter just yet. Good news here is that everything has gone fairly nicely all year. Teams work very hard and to be in a position where we have 40 aircraft or 35 to 40 next year at this point in time gives us good confidence in our ability to continue to pace the program.
Walter Spracklin : Okay. That's great color. You had kind of put out an 8% to 10% in 2020. Some time ago you were telling us you kind of hold off. Is that now -- should we just -- obviously we got to put something in our models here. Is that directionally something we should consider? Are there aspects to that original guidance that you would say okay, not really applicable anymore because of -- and perhaps what those factors would be? Or is it kind of directionally if that's what we had in our model that's what we'd have in our model and stay tuned until February?
John Di Bert: Yeah. I think it's -- we're still very bullish on our aviation franchise and its ability to grow margins. So I would say that by and large we still have very similar expectations for this business. There is a lot of moving parts and another one that today with the divestiture and completing the CRJ transaction as well. So that does move things around a little bit. And I think that we're going through a year where we start to deliver 7500s as the unit cost comes down. So, all of the trends are pointing in the right directions. I'll reserve any commentary on 2020 just until we get into our guidance as Alain said in February of next year. But I would say that by and large we're pointing in the right direction. This is still a great franchise that we expect to grow margins for the longer-term here for sure.
Walter Spracklin : Okay. That's great color. Really appreciate it.
John Di Bert: Okay.
Operator: Our following question is from Benoit Poirier from Desjardins Capital Markets. Please go ahead.
Benoit Poirier: Yes. Good morning everyone. My first question is related to your available short-term capital resources of about $5 billion by year-end. So, my question was, whether you are closer or you might be considering to buy back CDPQ's stake at one point?
John Di Bert: Sure. Good morning, Benoit. It's -- a clear part of our overall turnaround plan is to -- as we get to the end of it is to start to really focus on the deleveraging and the improvement of the capital structure. Everything we've done to-date has been to improve the businesses, improve the operating margins and we're going through some transition here in trains, but the thesis remains the same. The ability to convert that to cash flows. We are going through a little bit of a working capital peak here and that will kind of turn soon, so with the cash on hand, with the simplification of the business with the focus on core operations through strong businesses. As I mentioned in my comments going into 2020, I think this is -- it's clearly to where we're going to turn our attention is to improve our balance sheet and improve the capital structure. So this is all part of our turnaround plan and frankly I think a part of the next chapter, which will start to evolve. But that's something that we can probably pick up into 2020 as -- after we move off of what's really in front of us here over the next few months.
Benoit Poirier: Okay. Perfect. And with respect to your stake in the Airbus 220, Airbus is not allowed to buy back the stake before 2026. But if there would be a case where you could make it and sell your stake earlier, is it something that you would consider, John?
Alain Bellemare: Good morning, Benoit. So I would say we're looking at all options as John just said to deleverage the balance sheet moving forward. So that is part of our five-year plans where we're defining it as we speak right now. Clearly, this is a great investment. Airbus is doing a great job at building the backlog, reducing cost and strengthening the business. Just -- the work that has been done over like the 12 -- the past 12 months has been creating a lot of value for that business. So we feel good about this. And we will decide what to do with this at the right time. But for the time being, Airbus is a great partner, and we're very, very proud to be part of that journey with them. And at the right time, I mean, if there's ways to look at monetizing this investment and we're deploying somewhere else, we'll look at it. But this is not for today. And this is part of a future road map to deleverage the business.
Benoit Poirier: Thank you very much for the time.
Operator: Thank you. Our following question is from David Strauss from Barclays. Please go ahead.
Unidentified Analyst: Hi guys. This is Kate Kawczynska [ph] on for David. So guys had pretty strong bookings at BT and you cited a large mix of reused projects and services and call offs. So I was wondering if you could elaborate on when you expect the BT backlog composition to substantially transition kind of from where you are right now with a lot of legacy projects into a more favorable mix of reused contents and call offs? And when we would expect that to be reflected in higher margins and cash flows?
John Di Bert: Thanks. That's a good question. It's John. So I would say that this has always been part of the plan, and we've been working through a significant amount of backlog that has been dilutive so lots of investments and the development in that backlog and now we're coming to the point here of significant deliveries and that's put some strain. We will work through 2020. And I think that is going to move through a lot of the remaining backlog on these large dilutive projects. And I think as we get gradually through 2020, the margin starts to improve. So, we do have expectations of better margins next year and 2021. So I think as you go over the next 18 months, 24 months we’ll be largely transitioned to a good quality balanced backlog. And at production rates that are also going to give us I think operational efficiencies. So business is progressing well, and the work that we've done in the backlog here over the last two years, three years I think will bring benefits in the longer-term.
Q – Unidentified Analyst: Great. Thanks guys.
John Di Bert: Thank you.
Operator: Thank you. Our following question is from Robert Spingarn from Credit Suisse. Please go ahead.
Robert Spingarn: Hi. Good morning.
Alain Bellemare: Good morning.
John Di Bert: Good morning.
Robert Spingarn: Alain, can we probe a little bit deeper into the software versus hardware element of the BT contracts? I'm just -- that was a theme this summer from Danny clearly that the software needs to catch up you took the charge. So how -- could you give us an idea of the progress there? And then separately John for you, progress payments on 7500, could you just refresh us when you deliver all these airplanes in Q4 what percentage of their sale price you actually collect?
Alain Bellemare: Yeah. Good morning, Rob. Let me start with the first part of this. As you well know, the software is always the last piece in order to complete larger industrial programs like that. So this is not surprising, but we had a bottleneck last year. We really played a lot of resources. We've moved over 50 aerospace engineers systems -- software engineers to the train business, we recruited top talent. We've moved our Chief Engineer from Bombardier to a -- to full-time -- to be full-time in London to focus on the software side on train control management. We recruited John Saabas former President of Pratt Canada very strong engineering background, a very capable program and project leader. So we've strengthened the team, added resources, and although there's still some work to do, we have much more capacity today to enter all of the projects that have been piling up over the past two to three years, because of delays of these large legacy complex projects. So, the -- as a result of that as we said over the past four quarters on the hardware side, on the rolling stock side, we were ahead. So, we were building inventory. And I think that we're peaking right now and we're starting to see the next phase where we will deplete all that inventory. We have a very significant backlog and that backlog is going to -- on these legacy projects is releasing right now. And that's important what I said. And I was like New York -- we said that New York was going to be completed this year, it will. Crossrail, we said it was going to be completed this year, it will. TWINDEXX SBB last year there was a lot of challenges around that. We now have like 23 trains in service. I went to ride the train myself with the Chairwoman of SBB. And I would tell you I mean it's a spectacular train and the performance is very, very good and improving every day. And no train is a good example of what I just described at first. I mean a software development has been delayed because it's complicated. I mean these trains are complex today. They have to integrate well with the network, with the infrastructure. And as a result of that LOTRAIN train is the one where we got -- we would release the buildup of rolling stock this year. But this one now will slip into early 2020 because of the delays on the software side. So, I think actually we have clear visibility as John said earlier, we understand where are the bottlenecks where are the issues on the development side on the production side. And Danny and the team have a clear understanding a clear action plan and we're just driving this hard. So that's kind of it.
John Di Bert: Yes. And Rob I'll just quickly comment on your question on 7,500 and the cash and final payment. Obviously we don't provide the details for competitive reasons on how those are structured and they can be tailored on different transactions and so on. So, I would say that when you look at it in kind of just big, big picture here you've got about $900 million that we expect a seasonally strong fourth quarter normal type of cash. And then that leaves $600 million $700 million to get you $1.6 billion that we expect. I'd say that if you kind of cut that in half maybe a little bit more to the train side, but the remainder of that is the upshot of the 7,500 final payments in aggregate.
Robert Spingarn: Okay. That helps. Thank you, both.
John Di Bert: Thank you.
Operator: Thank you. Our following question is from Fadi Chamoun from BMO Capital Markets. Please go ahead.
Fadi Chamoun: Hey thanks. Good morning. John if we look at the BT result this year, can you help us understand what is currently in the BT margin that you don't expect to repeat in 2020? Like what are the elements that are associated maybe with these contract's one-time charges that you incurred in 2019 that you don't expect to reoccur in 2020, so it can help us a little bit -- of the trajectory of the profitability of BT as we go into next year?
John Di Bert: Yes, I think that the biggest item that will clear its way through is the challenges we've had with absorption and factory overheads and so on as we kind of moved the production schedule around a lot early in the year. We took an adjustment to production which resulted in the revenue adjustment and then we moved the projects around to resynchronize flow and also working with our customers. So, I would say that by and large that's where the normalization will come out. The remainder is mostly associated to -- directly to the projects themselves. So, it kind of when you do a percentage of completion margin, it's the margin across the projects. So, you just basically adjust and then you take it on a go-forward basis. So, for all intents and purposes I think that the real takeaway for us at BT is that we've seen the low points here. And 2019 has been tough because we have made some investments we -- those will flow through the projects. We've had some headwind from the absorption in our factories. We will clear out a lot of the more dilutive backlog, particularly in 2020. So, that's still going to be a bit of a drag year-over-year. That doesn't kind of abate, but it does clear the backlog out. So my view here is that you grow into 2020. I'd say, it's about a 100 basis points of dilution that we would have taken probably this year on the absorption side. So that's kind of just a ballpark number, but still a little bit of drag coming from the tougher contracts until we finish those 2020 early 2021.
Fadi Chamoun: Okay. And if the dilution impact of these contracts gets bigger in 2020 or smaller than it is in 2019?
John Di Bert: Yes. At this point, I'd call it kind of -- it's a bit of a push year-over-year. We're going to clear out the big five contracts we talked about here finish up any cost that comes with protecting the entire backlog. So I would say largely a push, the biggest year-over-year improvement I would say is coming from absorption. And then clears the path for even better margins I think, going forward. You know, I would say that a bigger picture we still believe the train business is a solid high single-digit business. And we'll give more color on that as we talk with you guys on kind of the look forward on both franchises next year.
Fadi Chamoun: Okay. And then just also follow-up -- so if basically there is a dropoff in this dilution effect as we go into 2021 like do you get through most of this by 2020? Or...
John Di Bert: Yes. The answer to that is yes, we do. Yeah.
Fadi Chamoun: Okay. And one quick one on the BA aviation margin. On the business aviation margin, which I guess you corrected provided 8% to 10% that you've given us a while back is kind of realistic still. But is the effect of the dilution from -- not the dilution, I guess, the consolidation of Aerostructure back in the aviation business including Red Oak or does this help you or hurt you when you look at that 8% or 10%?
John Di Bert: Yes. So things move around a little bit. What I'll say is that the operations that at in Belfast for example, you know, that the Aerostructure comes with high single-digit margins. Historically, we were driving something closer to 10%. And -- so that's part of the franchise in Northern Ireland and Morocco and Dallas that produced those kind of margins. So that does create a bit of a headwind. I would say that's probably less than 100 basis points. But nonetheless it's probably in that range of 50 basis points to 100 basis points of I'll call it dilution from the divestiture of some of those Aerostructure components. And that being said we get it upfront with proceed cash and this is also -- and the transaction today is also another great example of how we are taking deleveraging steps along the way here. CRJ was a good example with RBGs. Again, today moving some pension liabilities and other liabilities with the transaction. So I'm very, very pleased with the balance of what we give up and what we get and it strengthens the business. So a little bit of headwind or dilution there. Nonetheless, we're going to work through 2020. It's another year where we're delivering the first real full production rate of 7500. So you can appreciate that that's still a dilutive relative to the overall base margin. But honestly, business is well set up to do exactly what we wanted it to do which is move towards in the longer term those double-digit margins.
Fadi Chamoun: Understood. Great. Thank you. 
John Di Bert: Thank you.
Operator: Thank you. Our following question is from Ronald Epstein from Bank of America Merrill Lynch. Please go ahead. 
Ronald Epstein: Yeah, hi. Good morning, guys.
John Di Bert: Good morning. 
Ronald Epstein: Just a couple of quick ones. On that Global 7500, how is the wind production going right? I mean is that -- can you give us a feel for bringing that back in house? Are you on productivity levels where you thought you would be? Are you doing better than it was when it was outsourced? Or what can you tell us about that?
Alain Bellemare: Good morning, Ron. Yes. Absolutely, doing much better. That was a real good move to get control of that wing manufacturing. And the team has been doing a great job and we're tracking on the learning curve we still have some work to do. We're not exactly where we want to be, but we're like so much better than where we were a year ago. And most importantly, we did that to secure the program itself. And that has been very good. So it's a -- was a good move. And the teams, they have a path now to keep on improving the wing manufacturing assembly, supply chain. And it comes down the learning curve. I mean this has put pressure on the business, in 2019. We said that. But again, superior supply and making sure that we protect this great program was our priority number one. And we're glad, we did it.
Ronald Epstein: So when you say it's doing better. Can you quantify that, any way? Like, we have no way to tell. We know it was not doing well for Triumph. So, is there any way you'll quantify, how much of the headwind it is? Where you expect to be next year? How to think about it?
Alain Bellemare: Yeah. The delivery performance is much better. Their rework level is coming down, out of sequence work is coming down. So, it's becoming a much smaller operation. When we get the wings, in Toronto for final assembly and they are in a much better shape, which in all ease and accelerate the portion, the assembly of the aircraft. So I mean all around things are getting better. It's a smoother flow. And this had a huge impact in 2019, over $200 million. But as we come down the learning curve, meaning, you improve the operation, productivity in Red Oak. You dig -- you bring down the cost of systems and subsystems, attached to the wing. All of this is better. So cost is better, delivery performance is better. The flow is better. As a result of that, the Global 7,500 overall, learning curve is improving.
Ronald Epstein: Okay. Great and then, if we could just change gears quickly to Transportation. Kind of as long as I've been following the company there's always been three to five programs in BT that have been problematic. Those three to five get fixed but then three to five more popup. So it's a sort of rolling cycle of problematic programs and has probably been that way for the better part of 15 years. How do we feel good that once the ones that we all know about are call it fixed out of the backlog, however you want to call it. Out of the inventory, how do we feel good that there's not three to five more sitting behind them that are going to rear their ugly faces sometime next year, as an unpleasant surprise?
Alain Bellemare: Yeah. It's a very good question, Ron. And I've heard that. And we've looked at this, and I think that, you're right in what you're saying. We've done a lot of deep dive on this. And by enlarge and all this is a challenge that starts with the way you bid on projects. And up to the last milestone in getting through homologation, customer acceptance, and delivery to customers. So, we've put a lot of discipline into the process, starting with the way we bid, on projects. And our focus has been over the past like two years, to bid on projects where we already have existing rolling stock, to minimize project risk. So, as we move forward, the level of risk that we have in the new projects is much lower than it used to be. Second thing is we've increased focus on signaling and on maintenance projects. So, when you look at this, the way you bid is the starting point of that. And then making sure that, when you bid it, you have the right level of resources attached to these projects and that -- we've done a lot of work on that as well. And that's one of the reasons why we invested more in 2019 to increase capacity, across the entire system from engineering to manufacturing and supply chain. We have also strengthened our project management organization in the region closer to customers. So you're in better sync between, customers when it comes to defining requirements to be able to move it from requirements to software, then to the trains getting into service. So it's really making some systemic improvement across the entire system. So, time will prove that, this is -- we're taking the right actions. But we went back, we look at past experience. And we have built on these learning's. And I think that, what we're putting in place is, a much stronger industrial process, to be able to avoid the challenges that you just talked about.
John Di Bert: And Ron, maybe I'd just -- I'll add something very quickly. Because I think Alain, has covered all of it very well here is that -- and this is a bit anecdotal, but nonetheless, if you look back, 2015 to 2019, right? So just assume those five actual years of performance. You had a booking in 2015 that was a tough margin year. You have a booking in 2019. I get your point about there's a bit of a cycle on this, but if you take the aggregate of those five years. And my numbers aren't perfectly right here just off the cuff but, it's over $35 billion of revenue in five years, and if you did the composite EBIT performance at BT over that period over 7%. So I guess all I'm trying to say is that, a lot of what's been done is actually broad benefits, been a bit lumpy. We're coming into some of the -- a tougher phase here as we get to the end of some of these large projects. But demonstrated over the last five years, $35 billion of sales which would include all of the lumpy backlog and the challenges we've had, 7%-ish or better EBIT margin. So that has already started to pay benefits. And I think, we're just going to get a little bit more stable and a little bit more predictable, as we go through here. And that's what we're trying to work on.
Alain Bellemare: And if I may add to John, one last thing, we have worked over the past five years to standardize in all the platforms. And I think this is also a very important achievement that, we don't talk much about. The reason why we can use existing trains on new platforms is because what John just said, we invested massively over the past like four or five years in developing these new platforms, while standardizing them. So, we had over like 50 different platforms and now we're down to less than it a dozen. And we've created also a center of excellence in engineering and in manufacturing to leverage the scale of the business and to put more standard work in place, so that we can be more efficient when it comes to designing and producing and servicing the trains. And I would just say that Cairo is a very good example. Cairo is a showcase of what we can do from an end-to-end offering. And as you know, it was a very significant win over like $2.5 billion. And if you look at this project, it's a reuse of an existing platform the ENOVIA platform which is already on 300 projects. So, it comes with like rolling stock that we know. And it comes also with 50% of signaling and services. So, this is what we've been doing over the past three, four years, focusing on standardizing improving. And hopefully, this will turn into positive contribution moving forward for our BT.
Ronald Epstein: Okay. Great. Thank you.
Operator: Thank you. Our following question is from Noah Poponak from Goldman Sachs. Please go ahead.
Noah Poponak: Hey, good morning everyone.
Alain Bellemare: Hi Noah.
Noah Poponak: John, so you started the year in the 2019 free cash outlook with an assumption for $300 million to $400 million of working capital recovery at BT. So, what is that number now going to be or according to your final outlook here what is it? And then, I want to ask you what -- how we should be thinking about that number for 2020? And I can sense the answer to that being, we're not specifying things in 2020, but it's a critically important number obviously and you've got the statement of positive free cash for the year. So, even if a really wide range or some other way to order a magnitude talk about it, what are you assuming for it in the statement of positive total company free cash in 2020?
John Di Bert: So, let me take the question in a couple of pieces. So, for the working capital of 2018 that would have pushed into '19. And I'm going to try to do this, so I'm as clear as I can be here. Of course, a lot of the cash flow that would have slipped in 2018, we would have recovered in '19. That being said, on a net basis, when you just look at where we end the year 2019, my statement on BT would be no meaningful working capital recovery. I leave it at very much that and that's what we described here, some stuff that has moved through and some that's pushed into next year. Now, what I'd also say is that, you've got the right answer to your second question, but I'm going to give you a little bit of color and just transparently as we kind of work through this. We've got a lot on the plate in the next few months, so we'll focus on that. But by and large, since mid-2017, when we start to really drive this peak delivery and output phase that was targeted over '18, '19, we've now by the end of '19, all things considered and with the delays and so on accumulated in excess of $2 billion of finished goods inventory. Now there are natural financing and advances and so on and so forth that support that build. But I would say that there's several hundred million dollars that that will come through cash flow residual after -- in all the advances and whatever other financing support is in that finished goods build-up that will come out through 2020 and '21. So my expectation here is, that you've got probably the next 18 to 24 months of deleveraging $2 billion of inventory, which will produce $400 million $500 million of total cash flows from excess inventory holding. So, hopefully that gives you some color.
Noah Poponak: It does.
Alain Bellemare: You had the last part of your question, which I thought was important. So it was -- remind me. Give a little bit of color onto next year. So, let me just kind of again give you a little bit of a framework and then you'll reserve the right here to go out in February with clarity and detail. But in simple terms, this year minus $500 million free cash flow that's the target. That's what we're driving. That's our expectation. In there, you've $300 million to $400 million that is non-recurring items negative. So, you talked about the wings, a couple of hundred million dollars there. You've got restructuring costs. On a net-net basis, you've got $300 million to $400 million of negative cash flow items in 2019. In 2020, my expectation is, you get more contribution from both the BA and BT on an earning side. So BT, gradual recovery, little bit of topline growth, some margin recovery at BA. You got a 7,500 produces good EBITDA will start to add volume there as well. Generally, the business will continue to progress overall. So, you've got a couple of hundred million dollars after your $500 million if you deduct this $300 million to $400 million, 2019 is $100 million to $200 million negative. You go into 2020. You've got earnings that grow. And then, you'd have some of that working capital as a tailwind through the period. So that's kind of where we are. There's moving parts. We're still working through some of the volatility. But I would say that's the framework. And just as a qualified, the only thing I would say is that, this is kind of net of the CRJ Aerostructures and some of these RBG payments. But nonetheless, that formula aggressively kind of works for how to think about free cash flow generation 2020 and onward.
Noah Poponak: That helps.
Patrick Ghoche: Let's take our last question please.
Operator: Thank you. Our last question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Thanks. I guess, just sort of following up on that on the -- I'm just wondering, if you can talk a bit about the cash flow implications from the Aerostructures sale. Obviously, you've offloaded some liabilities here, government advances and pension. Just wondering what the cash outflows from those two items have been I guess over the last 12 months or so? And was the business that you're selling itself generating positive cash?
John Di Bert: Yes. So maybe -- I mean, I'm not going to get into a lot of the specifics perhaps. But what I would say is that, you've got something in the neighborhood of about a $1 billion of revenues for that component of the business. About two-thirds of that roughly was external, largely Airbus-related revenues. And then the rest is internal. Like I said before, this was a business that had the typical Aerostructure margins kind of high single digits up to 10% that kind of a number. And that earnings piece goes with the business. So -- but that's fine. And like I said and we think, we made a decision, right? Not to grow into that part of the segment into third-party sales. We really wanted to focus the franchise to support our aviation unit. There is an investment cycle ahead, so there was going to be some CapEx associated with building the ramp, particularly on the Airbus programs. And -- so that kind of is a bit of an offset to the cash that it would generate. So this cash generation, the typical businesses, they tend to be somewhere close to the 70%, 80% cash to earnings, but a little bit of CapEx that would have -- over the next couple of years anyway would have been a bit of a drag. Overall, I'd say that's kind of the big picture on the piece of the business that we've sold here.
Cameron Doerksen: Okay. But does it reduce your future pension cash pension funding?
John Di Bert: Yes. But it -- but don't forget, the business unit carries its own cost, right? So on a net-net basis, it does reduce pension cash costs for sure. But it also was contemplated in the cash flows of the business. So, as I said it's cash generating. So on a net-net basis, we're monetizing future cash flows. Those cash flows would have been a lower in 2020 and 2021 and then growing in '22 '23 as the CapEx cycle subsides. We do reduce pension cash outflows. It's very important. At the same time, we do also give up some of the cash from operations.
Cameron Doerksen: Great. Understood. All right. Thank you, very much.
John Di Bert: Thank you.
Operator: Thank you. This concludes today's conference call. Please disconnect your lines at this time, and we thank you for your participation.